Operator: Good day and welcome to the Iridium Communications' second quarter earnings conference call. All participants will be in listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note, today's event is being recorded. I would now like to turn the conference over to Ken Levy, Vice President of Investor Relations. Please go ahead sir.
Ken Levy: Thanks, Raghav. Good morning and welcome to Iridium's second quarter 2021 earnings call. Joining me on this morning's call are our CEO, Matt Desch and our CFO, Tom Fitzpatrick. Today's call will begin with a discussion of our second quarter results followed by Q&A. I trust you have had an opportunity to review this morning's earnings, which is available on Investor Relations section of Iridium's website. Before I turn things over to Matt, I would like to caution all participants that our call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are statements that are not historical facts and include statements about our future expectations, plans and prospects. Such forward-looking statements are based upon our current beliefs and expectations and are subject to risks, which could cause actual results to differ from forward-looking statements. Such risks are more fully discussed in our filings with the Securities and Exchange Commission. Our remarks today should be considered in light of such risks. Any forward-looking statements represent our views only as of today and while we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so, even if our views or expectations change. During the call, we will also be referring to non-GAAP financial measures, including operational EBITDA, pro forma free cash flow, free cash flow yield and free cash flow conversion. These non-GAAP financial measures are not prepared in accordance with Generally Accepted Accounting Principles. Please refer to today's earnings release in the Investor Relations section of our website for further explanation of these non-GAAP financial measures and a reconciliation of the most directly comparable GAAP measures. With that, let me turn things over to Matt.
Matt Desch: Thanks Ken. Good morning everyone. So Iridium's business accelerated in the second quarter as we saw strong demand across the board and very healthy business activity across our partner ecosystem. While the whole world hasn't completely reopened yet, we have seen our subscriber growth recover to the kind the levels we were seeing in 2018 and 2019 before the pandemic slowed things down. For example, commercial aviation partners are experiencing a nice rebound in activity and end-user demand in maritime is also showing signs of improvement. This progress helped to frame our views for the full-year. Accordingly, we are raising our forecast for service revenue to reflect the strong demand we are now seeing on the back of increased usage and strong subscriber growth. We have also seen more normal seasonality again this year, which began in March and should carry through to October. This seasonal move, which was largely absent last year, was visible in the strong activations in commercial voice and data subscribers during the second quarter and it goes down as our best first half performance in nine years. Subscriber activity was strong in IoT as well. In fact, we have logged the best quarter of commercial IoT growth in Iridium's history, adding a record 82,000 net new subscribers over the past three months. Some of the strength may surely relate to the new love we all have lately for outdoor activity, as personal communications subscribers continue to grow at a record clip and we don't see this demand slowing anytime soon. We have added a number of new consumer-oriented partners in recent years and many are now seeing an acceleration of unit sales and activation. As these personal satellite communication devices proliferate, in part driven by falling retail prices, there is increasing awareness among consumers of the great value and utility they provide when traveling off the grid. We believe that we are still in the early days of adoption and Iridium's network is better suited for these mass scale consumer-oriented devices than any other existing or planned satellite constellations. We are very happy with the rebound in usage and subscriber growth in the first half of the year, as well as the strong equipment demand which is indicative of future activations. I am sure you are aware, however, that there are global supply chain shortages of semiconductors affecting high-tech companies, driven in part by high demand for automobiles and personal computers. This demand has recently impacted a specific component used in our legacy IoT modules and the supplier we use for this part reduced their monthly shipments to us until later in the year. Fortunately, my supply chain team has worked to limit the impact of the situation to IoT module scheduled for delivery to partners for the most part in the third and fourth quarters of this year. We should catch up quickly with demand in the first quarter of 2022. While this is slowing down a percentage of our monthly IoT module shipments over this period, it's a bit frustrating given the strength we are now seeing in our business. We really didn't want to be held back in IoT, even in a small way as this business continues to gain steam and is a driver of meaningful growth in the future. Apart from this unexpected challenge on some equipment, we have been extremely happy with how 2021 has unfolded. The industries we serve have opened up. Our partners have resumed normal operations and subscribers are returning to their normal seasonal usage patterns. We are about halfway through our peak season and we are getting better visibility into full year trends. The acceleration of service revenue growth that we had expected to see and spoke to last quarter, now seems to be playing out. For those who attended Investor Day in May, you heard about the strong progress that we are making on new products and services launching this year across several industry verticals. It feels like we have more oars in the water than at any time in our history. We believe that new product launches will expand our reach and drive new subscriber adoption in the coming years to help us achieve high single digit service revenue growth. I am really excited about the recent commercial launch of our Iridium Certus 200 service. This new service class offers the best performance to value in the industry for maritime and land mobile applications and we expect new aviation products to follow later this year and in 2022. Iridium Certus 200 is a perfect upgrade for ships that use Iridium OpenPort service, of which there are still around 9,000 actives and it's a better alternative than Inmarsat's Fleet One product. It provides good data speeds at a very attractive price point and its small omnidirectional antenna will fit unobtrusively on small boats, airplanes, trucks and trains. Iridium Certus 200 will be an even more cost-effective companion to VSAT on ships and partners are excited about adding it to their existing Iridium service portfolios. By the way, installation on ships are getting a little easier for some partners and it's showing in our numbers with the activation of more Iridium Certus broadband terminals. We added twice as many net new broadband subscribers this quarter than we did in the first quarter and three times more than we did in the same quarter last year. Iridium GMDSS is also performing well for us with more than 500 terminals sold since service commenced late last year. We continue to expect that our growing maritime offering will drive double digit broadband revenue growth well into the future. In aviation, our terminal manufacturers are finally making real progress. There are several antennas under development for commercial corporate rotorcraft and general aviation markets. And when they are ready, I think they will disrupt the status quo in aviation with their size, cost and performance in the same way we have in maritime and land mobile. We are also making good progress on the regulatory front for aviation safety services. The Global Standards Organization recently approved our detailed safety plans for Iridium Certus to be used for controller pilot data links and other safety services on commercial aircraft this quarter and it's clear from those efforts that we have a lot of supporters in the industry who want more Iridium L-band aviation broadband products for their aircraft and customers as soon as possible. I am pleased to be able to share today that Garmin's aviation team is now integrating Iridium into their groundbreaking Autoland aviation safety system. Installed on some of the latest Garmin-equipped aircrafts, Iridium will soon provide a reliable source for real-time weather data into the system which will complement other Garmin inputs to assist the system to safely and autonomously land the aircraft in emergency situations. In addition, we continue to explore other opportunities with Garmin to leverage Iridium's global network and recently signed an agreement enabling them to integrate Iridium Certus technology into their products. We are excited about the possibilities that increase data speeds and the most up-to-date L-band technology can offer Garmin's many customers. Moving to IoT, we feel very really good about our position in this growing market and know that the momentum we have enjoyed with personal communication devices will be a driver for many years. We continue to add new IoT partners to the fold, eight more in the second quarter alone who should further extend our industry and geographic reach. We have also begun to see a bounce back in demand from heavy equipment manufacturers as the pandemic recedes. Kobelco has now started deploying their Iridium solution and other major Asian OEMs are also beginning to hit their stride. Heavy equipment now accounts for more than 10% of our commercial IoT base and is forecasted to provide continued meaningful growth, especially as global construction returns and as investment in infrastructure becomes a priority. In the first half of the year, we have also formally lab-certified 14 new IoT solutions at the request of our partners and continue to see a healthy pipeline of new product innovations from them, especially those based on the Iridium 9770 midband module. That's a new devices that supplies what we call Iridium Certus 100 class service. Several partners are now selling their first products in this class and many more developing new applications today to replace legacy voice and data and IoT solutions with faster data speeds and other capabilities. On the consumer side, personal communication devices account now for nearly half of our IoT subscribers and are among the most efficient users of our satellite network. With consumer subscriber growth averaging 46% over the past two years, we want to augment our capabilities with these users beyond basic texting and SOS services and embed Iridium conductivity into more consumer devices. Midband products are coming in 2022 that will allow our consumer satellite users to share feature-rich text, photos and update their social media more easily. We are very excited about the potential of all of theses. The U.S. government continues to be an important long-term partner. In June, we hosted a two-week Arctic exercise with the U.S. government and more than 20 organizations were involved showcasing Iridium technology for operational needs in the vast regions north and south of 70 degrees latitude where few other highly mobile system choices exists. This expedition, which was called Operation Arctic Lynx, brought together partners and users to demonstrate the Iridium Certus platform and other Iridium products to customers for high-valued communications on the move. Participants got to utilize many of Iridium's capabilities and partner's products that support unattended sensors, command-and-control, real-time communications, imagery and full-motion video. We were very happy with the broad participation in this event and the collaboration of these partners with so many end-users and plan to host these types of programs on a more regular basis. Despite having 153,000 government subscribers, we would have anticipated higher growth of subscribers in engineering service revenues this quarter, but for some teething pains the U.S. government is going through as they work through the transition of our EMSS contract and gateway support from DISA to the U.S. Space Force. We are working with the DoD to manage through their budgeting and contractual issues to continue to foster growth and innovation under the EMSS program. Switching gears to Aireon, Aireon is starting to see signs of growth as air traffic rebounds from the pandemic. Last month, they made use of the favorable credit markets to close on a refinancing of their credit facility that provides an access to capital on much improved terms. The company continues to deploy its solutions to partners and will already service about half of the world's airspace when it's existing contracts are deployed. As I said before, we are really pleased with the quick progress Aireon is making on what they call commercial data services. We believe this will provide a nice upside to their long-standing business plan, which was initially focused primarily on air traffic control data. As an example, EUROCONTROL recently announced the deployment of Aireon 's real-time traffic surveillance data from flow management to boost air traffic predictability and safely adapt to varying traffic demands across the organization's 41 member states. We are proud of the progress that Aireon has made since it went operational in 2019 and are happy to host their technology which is now redefining the standard for global aircraft surveillance and safety. So as I reflect on the first half of the year, Iridium has emerged from the global pandemic with momentum and our accelerating growth and strong free cash flow generation allow us to pursue many avenues for expansion. This year, we have continued to add new products, partners and services, each of which should bolster our unique position in the satellite industry. We feel very good about our progress and look forward to continued strong revenue growth to meet the objectives we laid out for the next five years at our recent Investor Day. With that, I will turn it over to Tom for a review of our financials. Tom?
Tom Fitzpatrick: Thanks Matt and good morning everyone. I will get started by summarizing our key financial metrics for the quarter and providing some color on the trends we are seeing in our business lines. Then I will recap our updated guidance for 2021 and close with a review of our liquidity position and capital structure. Iridium executed well in the second quarter and continued to grow sales as the broader business environment continued to return to normal. We generated total revenue of the $149.9 million in the second quarter, which was up 7% from last year's comparable quarter. The improvement reflects ongoing demand for our L-band services and is an encouraging sign that the headwinds associated with the COVID-19 pandemic has decreased. Operational EBITDA was $94.8 million which was up 11% from the prior year's quarter. The increase from last year reflects a return to seasonal activity, including more customary business operations for our partners, most of whom were still reacting to the pandemic in the year ago period. In light of our expectations for improving revenue growth in the second half of the year, we now expect service revenue to increase between 4% and 5% this year. On the commercial side of our business, service revenue was up 8% this quarter to $95.6 million. This increase reflected a rebound in our seasonal business compared to last year's pandemic headwind which weighed on travel and usage. Strength in IoT and broadband as well as the seasonal uptick in voice more than offset the decline in hosting data revenue, which was entirely attributable to a true-up in the prior-year period on the L3Harris hosted payload. Commercial voice and data revenue increased 4% to $43.3 million, driven by a seasonal uptick in activations, including continued strength in Iridium Push-to-Talk. In commercial IoT, retail-oriented subscribers fueled a record 82,000 activations during the quarter and drove a 20% increase in revenue from the year ago period. Through June 30, we had over 500,000 personal communication devices on our network and continue to believe that these consumer oriented users will drive IoT growth for the foreseeable future. Last year, IoT growth was constrained by the COVID shutdown and was especially acute with lower data usage in the aviation industry. As business activities have begun to normalize, we have seen a rebound of aircraft usage, which is helping to augment commercial IoT ARPU. IoT ARPU was $8.69 this quarter, compared $8.91 in the prior-year period. The slight decrease in Q2 from the year ago period was caused primarily by the increasing proportion of personal communications subscribers, which use lower ARPU plans. Offsetting this trend was an increase in usage in aviation, which was also evident in the increase in ARPU from the first quarter. As we noted during our Investor Day in May, IoT ARPU trend should revert back to our long-term historical norm. The 20% revenue growth we saw in the most recent quarter supports our expectation that IoT revenue growth for the full year will be up materially from the off-trend 1% we saw in 2020 during the height of the impact from the pandemic. The return of air traffic is a key variable as it removes a significant headwind we faced last year. During the quarter, we added a record 98,000 net new commercial subscribers, driven by the surge in IoT activations. Commercial IoT data subscribers now represent 74%. Of Iridium's billable commercial subscribers, up from 71% in the year ago period. We estimate that consumer oriented plans now account for nearly half of our commercial IoT users. Commercial broadband revenue totaled $10.6 million in the second quarter, up 25% from the prior-year quarter. A rise in maritime activations drove this growth, though limited access to vessels continues to restrain the installation of Iridium Certus terminals. With more than 5,600, Iridium Certus terminals shipped to date by our manufacturing partners, we continue to expect strong broadband growth as travel restrictions lift. Hosting and other data service revenues was $14.4 million this quarter, down 7% from the comparable quarter in 2020. The year-over-year decline related to a revenue true-up in last year's second quarter related to usage by L3Harris. Turning to our government service business. We reported revenue of $25.8 million in the second quarter, up 3% from the $25 million in the prior-year quarter. This increase reflects the contractual terms of our long-term EMSS contract. Government subscribers grew 10% year-over-year to 153,000 in the second quarter. Subscriber equipment continues to benefit from strong demand, rising 10% from the prior period to $21.8 million. As Matt noted, we have received notice from suppliers equipment that was previously ordered is in short supply and not likely to be delivered in the timeline that we had originally contracted. While we continue to work with our suppliers and explore alternative sourcing options, we now expect that full year equipment sales will be below our initial expectations. We are also having to absorb some price increases that could compress equipment margins. Engineering and support revenue, which is largely episodic, was $6.8 million in the second quarter, as compared to %7 million in the year ago period. We continue to expect engineering revenue to ebb and flow and have recently experienced some delays that will cause our engineering and support revenues to be lower than our original expectations. In all, the second quarter was quite strong as we saw demand for Iridium service improve with a resumption of more normal business operations by our global sales partners. We remain optimistic that pandemic-related restrictions will continue of abate and industries that have been hardest hit over the past year will increasingly see their business return to pre-pandemic level. This assessment gives us confidence in increasing our growth outlook for service revenue to between 4% and 5% in 2021. Due to the uncertainty with supplier constraints and resulting impact on equipment revenues and costs and given the softer engineering revenue we now expect, we have not increased our guidance for operational EBITDA. We reiterate our full year guidance for EBITDA of between $365 million and $375 million. Moving to our cash position. As of June 30, 2021, Iridium had a cash, cash equivalents and marketable securities balance of approximately $219 million. Our strong liquidity is a key reason that our Board authorized a share repurchase program earlier this year. In the second quarter, Iridium purchased $63 million of common stock at an average price about $37 a share, leaving the company with a balance of $178 million in its $300 million share buyback program. We will continue to be opportunistic in executing these repurchases. Net leverage was 3.9 times EBITDA at the end of the second quarter. This was down from 4.4 times a year earlier and includes the buyback during the first half of 2021. Our long term target for net leverage continues to be between 2.5 and 3.5 times of EBITDA. We anticipate that we will be within this target range by year-end 2022 even after giving effect to the maximum $300 million share buyback. Capital expenditures in the second quarter were $9.8 million and we continue to expect maintenance CapEx to be about $45 million this year. We continue to expect pro forma free cash flow of approximately $232 million this year. This is up 15% from 2020. We arrive at this level by using the midpoint of our 2021 EBITDA guidance at $370 million and back off $71 million in pro forma net interest, $45 million in CapEx, $22 million in working capital inclusive of the appropriate hosted payload adjustment. This free cash flow reflects a conversion rate in excess of 60% in 2021, representing a yield of more than 4%. We continue to expect growth in pro forma free cash flow will outpace the rate of growth of EBITDA this year. A more detailed description of these cash flow metrics along with the reconciliation to GAAP measures is available in a supplemental presentation under Events on our Investor Relations website. As you may have seen, we launched a repricing of our term loan yesterday with indicative pricing of LIBOR+250 basis points, a 25 basis point improvement in the current spread with a LIBOR floor of 75 basis points down from the current rate of 1%. This pricing would represent an overall savings of 50 basis points on our current interest costs, which would yield annualized interest expense savings of approximately $6 million. We expect this transaction to close next week and we will be able to confirm details at that time. This is the second time we have undertaken a repricing of our term loan in the calendar year. We think this demonstrates the strength of Iridium's business model along with acknowledgment from investors of the strong and stable recurring nature of our free cash flow profile. In light of the expiry of an interest rate swap later this fall and the impending close of our current repricing transaction, we would expect pro forma interest expense of less than $60 million in 2022, which represents a significant decrease from the 2021 level and is approximately half of what it was in 2019, just two short years ago. In closing, Iridium is capitalizing on many growth opportunities now that most of our business partners have reopened and returned to normal operations. We will continue to keep you informed on the supply chain challenges that we may face but believe that we are navigating the current environment well which will allow us to drive revenue growth this year as we also generate incremental free cash flow for our shareholders. With that, I will turn things back to the operator for the Q&A.
Operator: [Operator Instructions]. Today's first question comes from Ric Prentiss with Raymond James. Please go ahead.
Ric Prentiss: Thanks. Good morning guys.
Matt Desch: Hi Ric.
Ric Prentiss: Hi. Obviously, a big quarter on the av with overhang with supply chain issues, it sounds like. But if we think longer-term, you have mentioned in your Analyst Day high single digits for service revenue growth from 2023 to 2025. As we think about getting there from what we are seeing currently, how much of that is driven by pricing and how much is driven by quantities?
Matt Desch: When you say pricing, do you mean raising prices?
Ric Prentiss: Yes. Just kind of ARPU. Yes.
Matt Desch: Yes. Well, it certainly isn't about raising prices because we don't have to do that to achieve that kind of level. I would say, most of it is quantity, really almost 100% is quantity in terms of adding subscribers, new products that deliver additional revenues. In fact, we are moving more broadly into broadband at all different levels in the multi-class level of all the products we have offering. We are entering into broadband and into aviation. We are really increasing kind of service revenues across the board in that area. So it really is volume driven and not a big change from sort of this trajectory that we are currently seeing right now and expect into next year to get to that level.
Ric Prentiss: Okay. And on broadband pricing, it's obviously still a fairly small base but the ARPU has bounced around a little bit in the broadband category. Is there seasonality there? Is it just as you are installing? I am just trying to think of how we think about the Certus through this going forward.
Matt Desch: Well, Certus700 is the only service we offer today in maritime and land mobile. And we offer a number of different sort of data packages based on time and data levels, et cetera. The general level of amount of usage of our new Iridium Certus terminals is higher than what we were used to in the previous Iridium OpenPort timeframe. OpenPort still makes up the majority of our broadband revenues today, but that will be, quarter-by-quarter, overtaken by more and more higher speed Certus terminals which deliver higher ARPUs. So in terms of bouncing around, the higher ARPU Certus terminals will continue to sort of dominate over a longer period of time. But I think that's about the only way I can kind of look at it. Probably it's a little bit of seasonality of usage in the summer, I assume. And so I would say because of the predominance of maritime right now and the land mobile offerings, there is going to be a little higher seasonality in the second and third quarters, particularly. So that might affect things a little bit too.
Ric Prentiss: Makes sense. In the past, we get a lot of questions about all the new leos, the space race that's going on out there. Talk a little bit about where you are at as far as maybe partnering or collaborating with these other leos and how the L-band and Iridium services might play into what the future networks look like?
Matt Desch: Well, again, what is going on in these mega constellations in the KA and KU band is very different than what we do. I have called that commodity broadband services offering, really, really high speed services from a larger antenna in some ways to consumers but even when it's an enterprise and government applications, these are through really large terminals that operate in very, very different applications than we either do today or ever aspired to do. And in most cases, almost every service that we offer, saying and I would use the example, we dominate in the cockpit of commercial airplanes where the Wi-Fi system that's used in the cabin would be the kind of systems that those systems would compete over with the existing geostationary satellite systems that operate in the same frequencies of KU and KA band. So very different services. I believe complementary and yes, we are complementary to existing operators. When these new mega constellations come in, our partners will be offering their services in complementary fashion with our services in the same way they offer them today. So it really doesn't affect in many ways what we do. As you know, we really focus on what I would call smaller, more highly mobile battery-operated consumer devices and that kind of built very small, smaller kind of vehicles, et cetera. And again, that's a completely different area that those networks can't really address. As far as partnering with them, we do have discussions with them. They all recognize that we are complementary. They talk about possibly having joint offerings together. We haven't announced anything like that. I would say that most of them are a lot more focused on just getting their networks in operation right now and a single first service together. And I expect most of those kind of discussions will be more something that happens in the coming years as opposed to anytime real soon.
Ric Prentiss: Makes sense. Thanks for that extra color, Matt.
Matt Desch: Thank you.
Operator: And our next question today comes from Walter Piecyk with LightShed. Please go ahead.
Walter Piecyk: Thanks. I may have missed this in the prepared comments. I apologize if this was addressed. But when I look at the quarter, that 20% growth in IoT specifically, obviously a very big acceleration, much higher rate than, I guess you could say, just a easy comp off last year. But Matt, can you just kind of talk about like where is that coming from in terms of either products, distribution channels, just peel the onion on that one a little bit and how you expect that to play out over the next couple of quarters?
Matt Desch: Well, it's very broad-based, Walt. We have hundreds and hundreds of IoT partners. And all of them seem to be kind of back to normal and performing very well in many, many industries, really across the board from things like I mentioned, heavy equipment to maritime to scientific to oil and gas with a little bit of recovery probably and really across the board. So obviously the biggest one in terms of numbers has been personal communications and that is definitely up, though those are much lower ARPU subscribers. But when you take the full collection around, there really isn't an area that is performing badly right now. And of course, the big headwind they got last year when you said an easy comp was aviation, which really kind of dragged on that whole thing and was the biggest reason why it was only sort of a 1% grower. And that has come back quite a bit. I mean, the majority of that has really sort of come back because those airplanes are flying again and they are using safety services. And so we are seeing really those revenues come back as well. So it's really broad-based.
Walter Piecyk: Should we start to look at this as like a sequential revenue business? Obviously there is a recurring revenue nature to this. This has been one of the higher growth or the highest growth engine, I guess broadband will be a big one as well. Like, is that the way we should start to think about this? And can you do you like steady sequentials? Or will there be some quarters that the sequentials will be more aggressive than others?
Matt Desch: Well, it has been a strong sequential year-over-year growth business for us in the past. You go back actually 15, 16 years right now. But I mean go back to as a public company every quarter and every year we have been able to put on significant new revenues and has been very consistent except for last year was a little bit, obviously because of primarily the second quarter and third quarter of last year and aviation really it took a little bit of a bite out of it. But that has come back largely this year as we expected and with a lot of new products coming in to bear that are soon going to provide higher speeds, more capabilities. I mentioned the more partners that are being added into it. The more solutions that are being driven to it. So I think the kind of success you saw us this year will continue out well into the future. I have always thought that this was always going to be one of our biggest growth engines. Broadband might be a more immediate real opportunity because we start from such a small base on that front. But IoT is going to be a constant engine of growth for us.
Tom Fitzpatrick: Yes. And I would just add, Walt. If you think about personal communications, right. So we had half a million subscribers. I mean there is 3.5 billion smartphones in the world. This is an accessory to a smartphone. If you look at the penetration of wireless in the 90s, it grew by 50%, year in and year out. So the potential here is significant for what we think a very long time.
Walter Piecyk: Yes. I am sorry. Go ahead.
Matt Desch: No. I would just mention, I know I didn't really say it, I said a bit in my script. But I really think putting up almost 100,000 subscribers this quarter was really quite an eye-opener in some ways for us in the sense that that was such a record. But it really doesn't feel unusual to us anymore. It was only a couple years ago, that would have been a good full year. That probably is not going to be that unusual second quarter for us in the future. And I think with the potential that these increasing number of partners that we see and the discussions and activity we see, that could be a level or a mark down the road here. So it's strong business to be part of.
Walter Piecyk: And just lastly, I guess, on share repurchase. Any kind of thoughts on how we should expect? I mean another solid quarter relative to last quarter, but free cash was ramping up. It looks like your CapEx was under-pacing. Just kind your thought process on share repurchase as we hit the second half of the year and any new thoughts on whether dividend is going to be a part of the capital return policy?
Matt Desch: Well, you have to tell me what the stock price looks like it's going to be in the next coming weeks here and months and then I will tell you how much we will buy. I mean, obviously we are being opportunistic, right, Tom. And this is, I think market has been down a bit and obviously we have continued to buy at different times there. And we have talked about the envelope which the Board has approved and we will keep working within that right now. But I just would expect that if the market improves, you won't see quite as much, at least in the in the near term. But it continues to give us opportunities, we will take them.
Walter Piecyk: And thoughts on dividend?
Tom Fitzpatrick: As we said in the Investor Day, Walt, it's on the menu. We will consider at the appropriate time. Right now, we are focused on the buybacks. But dividends aren't out of the question down the road.
Walter Piecyk: And hopefully it's not just feedback, not opportunistic dividends, because I think investors prefer to see if and when you start this thing regular growth as opposed to saying like, well, our stock has rallied, so we will drop a dividend this quarter versus none. I think obviously regular dividend and growth is going to be what investors will prefer and new investors even.
Tom Fitzpatrick: Right. That's how we think about it. Certainly, the primary concern is that, any dividend we put on the stock, we want to be sure that it is sturdy through the next capital cycle, the next time we have to replace our constellation. And so as time passes, we get greater clarity on what that looks like. Then eventually, we take --
Walter Piecyk: That's a long ways off. Okay. I got it. Thank you very much.
Matt Desch: Yes. Thanks Walt.
Operator: And our next question today comes from Greg Burns with Sidoti & Co. Please go ahead.
Greg Burns: Morning. Can you just give us a little bit more clarity on, I guess, how the supply-chain issues might impact IoT activations in the second half of the year?
Matt Desch: Right now, we don't think it's going to impact our growth much in the second half in terms of activations and obviously service revenue because we call that up for the year because most of our partners have the devices they need in the next quarter or two or certainly in plans to get their current products fulfilled and everything with their customers. So I really don't think it's going to affect too much. The bigger issue we had more of it was, could we contain it? This is something that coupled, really kind of found out about it about a month ago and I am really fortunate to have such a great supply chain team who jumped on this thing really hard, working closely with our supplier,, getting kind of increased allocations from what we originally feared, I think and kind of constrained this thing to primarily two quarters, the third and the fourth quarter in terms of sort of reduced shipments through them. So it is affecting some equipment revenues for us at the second half of this year. As I said, we will really be caught up pretty quickly in the first quarter of next year, so all the growth requirements that everyone has. We were fortunate to go into this with a bit of inventory on hand. So were using that as well to fulfill our partners' requirements in the next quarter or two. But there is a few we are going to allocate a little bit which is, as I said, frustrating because we and they are doing so well right now, we don't hold anybody back. So I think it's going to a bit of a blip in the road in terms of our overall growth. But it's one of the reasons why I can't call it up yet until we see exactly how that all plays out.
Greg Burns: Okay. And then in the voice and data, obviously a nice snapback from last year in terms of seasonality. But even so, the net adds were probably the highest I have seen since I have been covering the company. Has there been any other change in that market that maybe from a competitive perspective that is driving stronger demand for your services?
Matt Desch: Well, I think, our portfolio, as I said, it's the best first half in nine years. I think we have the best, a really great portfolio of products. For example, had really good activations of our GO! product this year. Iridium GO! has performed very well. People, I think, are really appreciating sort of its potential. The other one is PTT. I mean we are really, PTT has been very strong. We introduced that a number of years ago. It takes time because it's a more complicated sale because you are selling that to a workgroup or a government or agencies and everything. And they need to integrate it into their service portfolio and in their systems. But more and more of that's happening around the world and so PTT has been really strong in the last six months as well. And obviously, people returning back out is also an important driver. And as you can see, people appreciate sort of the value of the service wherever they are. Everybody wants to get out and socially distance. So I guess they are using their satellite devices. But it has been strong.
Greg Burns: Okay. And then in terms of in the maritime market with the different levels of Certus service offerings in terms of the 200 and the 700. How are those products differentiated in the market? In fact, like I am thinking like in terms of like what applications are they more used for? And is 200 potentially going to cannibalize some of the 700? Like, how should we think about the dynamic of demand for 700 versus 200?
Matt Desch: Yes. Obviously, they are two different speeds. The 200 is very small and offers about, I mean it's called 200 because it's 200 kilobits per second type service, which is good enough for many applications and a lot of lower–end, more price-sensitive kind of applications that aren't really going to use service all that much. Like the fact that it's a lot less expensive terminal with half the cost. And therefore, it might be used for that. It's going to be used in some VSAT companion applications where they just want to really even reduce the cost further for sort of the L-band component. As I have said before, almost every VSAT terminal seems to go out there with one of our L-band terminals on it, at least if it's anybody but one K band provider. And then the 700 kilobit per second unit obviously provides a lot more speed. It's a little more expensive. But it's a lot more competitive to those kind of standalone applications you might want to have where you really want a pay-as-you-go kind of service as opposed to an always on VSAT unit. But even if you wanted a premium backup to your VSAT unit, which will provide a much more comparative kind of service to it when you can't use your VSAT terminal or it's out of coverage or it goes into more northern or southern hemisphere coverage areas or whatever the reason might be, it provides even a higher level of service. So our partners kind of see that both of them are going to be heavily used in their portfolios. They don't see really one over another. I will say, I believe that long term the Certus 200 product will cannibalize our OpenPort units which, I will say, have been holding up much better than we, I think, thought a couple years ago. We thought a lot of people would probably replace those OpenPort units with Certus. But many of them are still out there in the field. As I said, almost 9,000 are still out there. But as they do come up for replacement, I think the Certus 200 for those who are really, really cost conscious will be a great replacement choice for them.
Greg Burns: Okay. Thank you.
Operator: And our next question today comes from Chris Quilty at Quilty Analytics. Please go ahead.
Chris Quilty: Thank you. First a question for Tom. With the higher anticipated service growth rate, but not raising the full-year EBITDA, is it fair to assume that all of that is related to the lower engineering services and potentially lower revenues and margins on the equipment side? Or are there other factors in line?
Tom Fitzpatrick: Yes. It's those two, Chris.
Chris Quilty: Okay. And then, Matt, a question for you on the personal communications. Obviously, the big anchor there is Garmin. And I think nearly all of those products today are the sort of handheld GPS type of units. So two questions here. How do you see that broadening out in terms of customer concentration? And number two is, what do you think is the next major class of products beyond handheld GPS that becomes a large unit volume market?
Matt Desch: You know, I understand kind of where you are going. Obviously, Garmin has embedded us into more and more of their products and have plans to, I believe, introduce other products based upon our services. And as I mentioned today, they just kind of signed a deal to embed Iridium Certus technology into their products in a very integrated way, much more than you might expect. And that will create enough. I think, even new opportunities for additional products that use higher speeds and can transfer pictures and that sort of thing much more easily than you can today with the current lower speed devices. So I am looking at a lot of opportunity for growth from Garmin in the coming years. I really would hate to start trying to describe what they should really describe in terms of their product plans and how they plan to address different markets. I do know, they also continue to look to expand sort of geographically as well. They are very, I think, adept and effective at managing sort of that consumer-focused business. And they do that carefully around the world in ways that are advantageous and that also drives growth. So I think that's what's exciting. But I don't really want to try to analyze their business for you here.
Chris Quilty: Got you. And final question just on the service margins here. Given some of the mix issues that you see going on, is it fair to assume that they stay around the 80% level? Or do you see any room for expansion?
Matt Desch: In terms of service revenue percentage of our portfolio?
Tom Fitzpatrick: Yes. There is not a lot of dip. There is no incremental variable cost from one product to the next. It's kind of, it's just network utilization. So I think, if you are modeling 80%, I don't see a change in that.
Chris Quilty: Perfect. Thank you gentlemen.
Matt Desch: Thanks Chris.
Operator: And our next question today comes from Hamed Khorstan with BWS Financial. Please go ahead.
Hamed Khorstan: Hi. Good morning. So first off, I just want to see if this growth that have seen in Q2, was that a lot of built-up backlog that allow your partners who were able clear out, given the reopening after COVID?
Matt Desch: I don't know that they characterize it to us as that way. I believe a lot of them were meeting there backlog going back even into late last year, as we started seeing this growth really not just in the second quarter, but it was building in the third quarter of last year, the fourth quarter, the first quarter. I just think as we hit sort of the tsunami of seasonality and the number of our business areas, full growth in some areas, new products coming on, all these things sort of are coming together to get us back to what I would call more traditional year-over-year kind of growth rates. And that's what I think you saw in the second quarter. I don't think it was sort of some unexpected backlog flowing out. Perhaps a little bit more in the broadband. I mean I know that there is sort of a pent-up backlog of Iridium Certus terminals to go onto ships. And obviously, we saw some of those start getting onto ships in the second quarter. But I don't think that that's complete yet either. So I think they all are just sort of natural growth.
Hamed Khorstan: Okay. And then on what you guys have been seeing on the IoT front with the component shortages. Is that going to cap your revenue in some capacity, because you still raising service revenue. So I am just trying to understand, are you just expecting this growth to slow down compared to what you achieved in Q2?
Matt Desch: So it relates specifically to equipment revenue. We had expectations at the beginning of the year for a certain level of equipment revenue. I will say the demand has far outstripped what our original expectations were. And while we can meet some of that demand growth in certain areas, this one component will slow us down a bit in IoT modules in the third and fourth quarter, so that we can't meet all the additional growth that we are getting from those IoT partners in the way we would like to. Still, a lot of it and I don't think we are not going to be way, way off, but it will affect equipment revenues. I would say, we would definitely have had an up year in equipment revenue without this. But that now doesn't look like that's going to necessarily happen. Though we will see. I mean, we are really, as I said, we are still working to try to maximize the revenue right now and will be a report a lot more on that in the third quarter about exactly where we were or where we think we will end up.
Hamed Khorstan: Okay. Thank you.
Matt Desch: Yes. Thanks Hamed.
Operator: And our final question today comes from Mathieu Robilliard with Barclays. Please go ahead.
Mathieu Robilliard: Yes. Good morning and thank you. Firs question, maybe on maritime. Can you to give a little bit of color in terms of how the competitive environment has evolved, I mean from legacy players or from more recent player? Any change that is worth flagging?
Matt Desch: Well. I mean we have obviously gotten very strong in the last year or two, with both products in almost every category that are better, cheaper, work more places of the earth, et cetera. And we are only making that even more dramatic with now adding Certus 200 maritime products this year. There will be 100 products in the maritime market. GMDSS is now fully certified and expanding. In fact, we will report on it in the probably coming quarter, but there is one country that needs to certify Certus terminals and they should be certifying that soon. All these things are adding up to probably the best competitive position we have ever been in. And the response to us, of course there is a little bit of response but there can only be so much I think a really strong position across the board. And so it's showing up in our results. We are getting growth in maritime. I mean, others aren't and are struggling in those areas. And we are taking share. And I think that's a strong position we are in. So I don't think that's going to change dramatically. In fact, if anything we are stepping on the gas everywhere we can to even compete more effectively.
Mathieu Robilliard: Thank you. And second one was on aviation. You mentioned some progress on different fronts in terms of being ready to launch the Certus product in that segment. And update in terms of when you think can be in the market commercially with that product?
Matt Desch: Yes. If the partners continued to progress the way it looks like they are, it could be hitting the market late this year or certainly in 2022. We have had some of their terminals now into our labs for testing to make sure that the antennas work well with our network and they seem to meet our network requirements. So it looks like they are in sort of the finishing up of their products right now. And as I said, the are going to be there, I am excited about the potential of them because they are quite small in terms of being able to offer the speeds and capabilities they are and I think they will be able to fit on a lot of aircrafts that previously wouldn't have gotten that kind of capability before, whether it be rotorcraft or general aviation or corporate aircraft, certainly commercial as well. And in parallel, we have to also deliver this safety capability, a safety certification, so that these terminals could be used on commercial aircraft in cockpit applications for safety. We are making good progress this year on that and are on track to kind of get those certified to be allowed to have those things certified when they are coming in 2022 and 2023. So all those are taking a long time to get there. And really excited about, as I said, that there is a number products that will be here in the coming quarters.
Mathieu Robilliard: Sounds great. And then maybe last question which is a bit more long term. But obviously the capacity of your satellite fleet is limited. And so I guess the maximization of revenues is a mix of volume and ARPU. So I think back in 2019, you had kind of said, well, we think based on our internal assumptions of how much we charge for capacity and what the volumes are, that we can generate maybe $1 billion of revenues in the long- term with these fleet. And I guess the question was, how have things developed? I mean, can you comment to be in terms of how has the mix between volume and price per megabyte evolved? Is that kind of in line with what you guys were seeing? Or are we seeing more higher prices or higher volumes? Just maybe some color there.
Matt Desch: Yes. I can't reproduce my complete discussions. So I encourage people to go back and look at that kind of Investor Day discussion where I sort of made that summary that was more of an anecdotal summary at the time, but it was based upon a number of assumptions based on all the new products we are offering, the growth that we were expecting and the different kinds of mix. For example, extremely efficient and personal consumer products versus a little less efficient broadband products and how they would operate around the world. The other part of it too is that we are doing a lot of development right now to mine a lot of capacity out of our existing network. We are kind of redesigning our existing satellite software and gateway hardware to get to basically significantly improve the capacity of our system in the coming year. So all that being said, that led me to believe hey, just anecdotally let's say, we could at least do, I would say, $1 billion dollars. And that hasn't, our view hasn't really changed. Nothing in terms of sort of the growth track we have been on or anything we have seen in terms of all those variables over the last, I don't know, two years or whatever it was since we said that. Really, it's changed sort of the trajectory of what we think this network is capable of. So definitely, we think we have a lot growth left, a lot of cash flow, a lot of earnings growth to come from the network and a lot of new subscribers including, I would say, we are even more bullish about the personal communication space than we might have been even back then because of some of the things we have seen. And again those are incredibly efficient sort of applications. Sending, say, text messages across our network uses very little of our network based upon sort of the cost per transaction. So as those expand as well as we might think, that makes me even more bullish about our long term potential.
Mathieu Robilliard: That's really helpful. Thank you guys.
Matt Desch: Okay. Thanks Mathieu.
Operator: And ladies and gentlemen, this conclude our question-and-answer session. I would like to turn the call back over to the management team for any final remarks.
Matt Desch: Well, I get to go and find out how the Blue Origin launched it. I hope you have all been watching that in the corner of your eyes. Nobody told me anything happened. So I will look forward to seeing another progress in the space industry that's a around us. But thanks for joining this call and look forward to seeing you on the third quarter. Take care.
Operator: Thank you, sir. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines and have a wonderful day.